Operator: Good morning, ladies and gentlemen, and welcome to Baxter International's Fourth Quarter 2024 Earnings Conference Call. Your lines will remain in a listen-only mode until the question-and-answer segment of today's call. [Operator Instructions] As a reminder, this call is being recorded by Baxter and is copyrighted material. It cannot be recorded or rebroadcast without Baxter's permission. If you have any objections, please disconnect at this time. I would now like to turn the call over to Ms. Clare Trachtman, Senior Vice President, Chief Investor Relations Officer at Baxter International. Ms. Trachtman, you may now begin.
Clare Trachtman: Good morning and welcome to our fourth quarter 2024 earnings conference call. Joining me today are Brent Shafer, Baxter's Chair and Interim Chief Executive Officer; Joel Grade, Baxter's Executive Vice President and Chief Financial Officer; and Heather Knight, Baxter's newly appointed Chief Operating Officer. On the call this morning, we will be discussing Baxter's fourth quarter and full year 2024 results, along with our financial outlook for the first quarter and full year 2025. With that, let me start our prepared remarks by reminding everyone that this presentation, including comments regarding our financial outlook for the first quarter and full year 2025, the anticipated impact of our strategic actions, the potential impact of various regulatory and operational matters and the macroeconomic environment on our results of operations contain forward-looking statements that involve risks and uncertainties. And of course, our actual results could differ materially from our current expectations. Please refer to today's press release and our SEC filings for more details concerning factors that could cause actual results to differ materially. In addition, on today's call, non-GAAP financial measures will be used to help investors understand Baxter's ongoing business performance. A reconciliation of certain non-GAAP financial measures being discussed today to the comparable GAAP financial measures is included in the accompanying investor presentation and available in our earnings release issued this morning, which are both available on our website. As a reminder, continuing operations excludes Baxter's Kidney Care business and Baxter's former BioPharma Solutions business, which are both reported as discontinued operations. During the Q&A session this morning, Brent, Heather, Joel and I will be available to address questions. Questions on our results and outlook will be addressed by me and Joel. Now I'd like to turn the call over to Brent. Brent?
Brent Shafer: Thank you, Claire, and good morning, everyone. I appreciate you joining us. As you know, I recently stepped into the role of Chair and Interim CEO at Baxter. Joe Almeida led the business through a period of significant evolution over his nine year tenure, and we're sincerely grateful for his dedication to the company. One of the Board's top priorities, of course, is the identification of a permanent CEO. The Board is actively engaged in the search process with a supportive leading firm, evaluating both internal and external candidates. We're moving expeditiously, but most importantly, we're taking a rigorous approach to ensure we identify the right candidate to lead Baxter into the future. During the transition period, I'm committed to helping ensure we remain focused on a crisp execution of our priorities and delivering strong, consistent results. I'm pleased to be working with the entire leadership team on these shared goals. We're continuing to move the company forward into a new era. And as recently announced, we closed the sale of Vantive on Jan 31, 2025. This significant milestone was the final step of three strategic actions outlined in January of 2023 to transform the business. You'll recall these actions included the implementation of a new verticalized operating model. As a Director and in my role as Interim CEO, I can confirm that this segment-driven approach has created increased focus and execution related benefits, bringing greater clarity and agility to how we pursue opportunities globally. And as part of our transformation efforts, we completed the divestiture of Baxter's non-core BioPharma solutions business in 2023. Since joining Baxter's Board in 2022, I've observed and supported these shifts in the company's strategic direction, and I'm extremely proud of the hard work and dedication of our teams to reach this stage. These actions have positioned Baxter to accelerate innovation for patients and customers, and to drive profitable growth for our shareholders. Later in this call, Joel will provide details on our quarterly and full year performance as well as our outlook for 2025. As you have seen in this morning's release, we finished 2024 on a high note, beating our fourth quarter guidance for continuing operations on both the top and bottom lines. And we're starting 2025 building on this positive momentum. During this interim period, I'll be working closely with Heather, Joel and the rest of Baxter's strong leadership team to ensure we maintain that momentum. I've been very impressed by what I've experienced in the last few weeks, an engaged, talented, highly-motivated team that is squarely focused on Baxter's mission to save and sustain lives, a truly collaborative spirit and an intense focus on delivering on our commitments. This includes initiatives focused on innovation and profitable growth to enhance performance, deliver increased value and to better serve the needs of our patients and customers. To support these efforts and as we've shared earlier this month, we've instituted a new Chief Operating Officer position as a next step in leveraging the potential of our vertical operating model. We're fortunate to have Heather Knight stepped into this role as COO. Heather brings extensive experience and a proven track record to this position after a successful tenure, as head of our largest segment, Medical Products & Therapies, among other key leadership roles at Baxter and prior large health care companies. She'll be leading day-to-day operations across our three segments, encompassing global commercial operations, R&D, supply chain and medical and regulatory affairs. Her leadership will be critical as we navigate the next phase of growth. Now, I'd like to turn it over to Heather to share her perspectives. Heather?
Heather Knight: Thank you, Brent, and good morning, everyone. I'm very pleased to be joining today's call. I look forward to building upon, what we've achieved to date and helping to launch a new chapter of accelerated performance for the company. As Brent mentioned over the last two years, I've had the privilege of leading Medical Products & Therapies or MPT, which is Baxter's largest segment with over $5 billion in sales and operations spanning the globe. During this time, I spearheaded numerous vital initiatives with the support of my talented colleagues, including the recent successful launch of our Novum IQ infusion pump platform in The United States. As the leader of MPT, I also helped oversee the North Cove recovery efforts following Hurricane Helene. Given the essential nature of the products that are manufactured in North Cove, we spared no expense in our efforts to help address product supply for patients and customers, including importing products from Baxter sites globally. Thanks to the incredible dedication and resilience of the North Cove and broader Baxter teams, we were able to restart production on eight of the site's 10 manufacturing lines in the fourth quarter. Our final two manufacturing lines came online in January, and I'm very proud to report that we are now producing at pre-hurricane levels. This is just another critical milestone in our recovery, as we continue to work to replenish inventory and support our customers and patients' needs. Additionally, I've served as the lead interface to many of our key customers, and have been deeply involved in successfully renegotiating the recent renewals of select U.S. GPO contracts, helping to ensure we continue to meet our customers' needs, while also delivering positive movement in pricing. As COO, I'm excited to build upon my deep knowledge and understanding of our markets and operations to enhance collaboration across our segments and create a more holistic Baxter experience for our customers and the patients they serve. I'm confident that, by harnessing our combined strength and expertise, we can unlock significant value and accelerate our efforts to drive customer-inspired innovation for all of our stakeholders. I look forward to partnering with Brent, Joel and the entire Baxter team, as we work to achieve our strategic objectives and deliver exceptional results. I'll now turn it over to Joel to discuss our financial performance in more detail. Joel?
Joel Grade: Thanks, Heather, and good morning, everyone. I'm happy to be joining the call this morning to provide some additional details on Baxter's fourth quarter and full year 2024 financial performance, as well as commentary on our financial outlook for 2025. As Brent mentioned, we're very pleased with our fourth quarter results and how we ended the year. Our results came in ahead of our prior guidance on both the top and bottom lines, driven by better-than-expected sales and solid operational performance. Fourth quarter 2024 global sales from continuing operations of $2.75 billion increased 1% on a reported basis and 2% on a constant-currency basis, and compared favorably to our previous guidance, which calls for sales to decline in low single-digits. Outperformance in the quarter was broad-based and reflected positive sales across most of our product additions. As expected during the fourth quarter, Hurricane Helene negatively impacted our sales by approximately $110 million or approximately 400 basis points. Although the overall magnitude is less than the previously anticipated approximately $150 million, given the company's swift recovery efforts. For the full year, Baxter reported sales from continued operations at $10.6 billion, increasing 3% on both the reported and constant-currency basis. Hurricane Helene negatively impacted growth for the full year by just over 100 basis points. On the bottom-line, fourth quarter adjusted earnings per share from continuing operations were $0.58 and came in ahead of our prior guidance of $0.50 to $0.53 per share driven by the favorable top-line results and solid operational performance. In addition, our tax rate came in favorable to our expectations, which offset a negative impact from foreign exchange. On a year-over-year basis, adjusted earnings per share from continuing operations declined 11% in the quarter, primarily due to the negative impact of Hurricane Helene on our results. For the full year, adjusted earnings per share from continuing operations totaled $1.89 per share and increased 11% over the prior year, reflecting solid underlying operational performance and a benefit from non-operational items, including lower interest expense and tax rate. Now I walk through our results of our reportable segments. Commentary regarding sales growth will reflect growth at constant-currency rates. Sales in our Medical Products & Therapies, or MPT segment were $1.3 billion, increasing 1% in the quarter and coming in favorable to expectations. Full year 2024 sales totaled $5.2 billion, advancing 5% and ahead of the prior guidance of 2% to 3% growth. Adjusting for the impact of Julian, MPT sales growth in the quarter would have been approximately 9% and approximately 7% for the full year. Within MPT, fourth quarter sales from our Infusion Therapies & Technologies division totaled $1 billion and decreased 1%. Sales in the quarter benefited from significant growth for our U.S. Infusion Systems portfolio, as the rollout of our Novum IQ pump platform continues to build momentum, with orders coming in from both new and existing customers. Nutrition sales in the quarter advanced double-digits globally, reflecting strength in The U.S. as we continue to build out our alternate sites portfolio. Finally, as anticipated, IV Solutions declined in the quarter due to the impact of Hurricane Helene. Q4 sales in Advanced Surgery totaled $292 million and grew 6% globally. Results in the quarter reflected solid demand and positive pricing for our portfolio of hemostats and sealants across the globe. MPT's adjusted operating margin for the quarter was 16.5% coming in better-than-expected due to the sales outperformance. Margins declined year-over-year, primarily reflecting the impact of the hurricane. In Healthcare Systems & Technologies or HST, sales in the quarter were in line with expectations and totaled $784 million, decreasing 1%. Full year 2024 sales totaled $3 billion and declined 2%. Within the HST segment, sales in the quarter for our Care & Connectivity Solutions or CCS Division were $504 million, advancing 3% globally. Performance in the quarter was driven by 9% growth in The U.S. for CCS, due to continued momentum in our Patient Support Systems or PSS business, which once again delivered strong growth and reflected a benefit from competitive wins in both our Med Surg and ICU product lines, as well as upgrades for existing customers. Total U.S. capital orders for CCS rose 9% in the quarter and increased 15% for the full year. We are exiting the year with a healthy backlog and strong funnel and look to build upon this momentum over the course of 2025. Performance for this division was partially offset by weaker sales outside The U.S., reflecting a difficult comparison to the prior year period, which saw growth of 12% as well as softness in both China and France in the current year. Frontline care sales in the quarter were $280 million and declined 8%. Consistent with commentary over the course of this year, performance in the quarter was impacted by the backlog reductions, which positively contributed to sales in the prior year period. Results in the quarter also reflected the impact of certain market exits and supply constraints, which collectively impacted sales by approximately $15 million in the quarter. We expect the supply constraints that impacted the fourth quarter to be largely resolved for most products in the first quarter of 2025. We believe that performance for this division will also benefit from stabilization of the primary care market over the course of 2025, as well as the launch of several new products in the second half of this year, that are expected to contribute to positive performance for FLC in 2025 and beyond. FLC fourth quarter adjusted operating margins of 18. 5% increased sequentially, considering the trend of sequential margin improvements. Margins declined year-over-year, primarily reflecting higher investments. Moving on to our Pharmaceuticals segment. Sales in the quarter came in favorable to expectations and totaled $643 million, increasing 8%. Full year 2024 sales were $2.4 billion advancing to 7%. Fourth quarter sales within Injectables & Anesthesia of $383 million grew 8%. Performance in the quarter reflected mid-teens growth in our Specialty Injectables portfolio and anticipated rebound from the third quarter, which was impacted by the timing of some orders. Growth is driven by strong demand for U.S. pre-mixed products and the continued rollout of new products as well as the benefit from targeted sales and marketing initiatives that have been implemented. As expected, lower sales of inhaled anesthesia, which declined at mid single-digits slightly tempered overall performance for the injectables and anesthesia. Within drug compounding, continued demand for services resulted in strong growth of 9% for the quarter. Pharmaceuticals adjusted operating margins were 15.9% for the quarter, increasing 600 basis points sequentially. Adjusted operating margins decreased 370 basis points compared to the prior year, reflecting the impact from the MSA entered into following the BPS sale and increased operating expenses to support the new and upcoming launches. Pharmaceuticals team remains focused on expanding margins through improved mix, stabilizing the anesthesia business, driving cost improvements, compounding business and executing our margin improvement initiatives in integrated supply chain. Other sales, which represents sales not allocated to the segment and primarily includes sales of products and services provided directly through certain of our manufacturing facilities were $12 million in the quarter and totaled $67 million for full year 2024. Before moving on to the rest of the P&L results, I wanted to make some comments regarding our continued operations reporting going forward. As mentioned last quarter, due to the change of moving Kidney Care business results to discontinued operations, corporate costs that have previously been allocated to the Kidney Care segment that would not convey with the Kidney Care business in the sale are now reported in unallocated corporate costs. As we previously commented, we plan to offset a large portion of these expenses in 2025, through incomes we receive for Vantive under the transition services agreements or TSAs as well as cost containment initiatives the company is already in the process of undertaking. Our goal remains to fully offset the impact of these stranded costs and the loss of TSA income by the end of 2027. Fourth quarter adjusted gross margin from continuing operations was 44.5%, coming in favorable to expectations and reflecting a sequential improvement of 80 basis points. On a year-over-year basis, adjusted gross margins declined slightly by 10 basis points, driven primarily by the impact of Hurricane Helene, higher spend within such a manufacturing plant to support product growth, as well as the impact of the manufacturing supply agreements following the sale of EPS. Positive contributors to margin in the quarter were ongoing benefits from our margin improvement programs within our integrated supply chain network, as well as favorable product mix and pricing initiatives in select markets. Adjusted gross margin from continuing operations for the year totaled 43.5%. Fourth quarter adjusted SG&A from continuing operations totaled $679 million or $24.7 million, as a percentage of sales, an increase of 190 basis points from the prior year period, as we continue to make select investments to support our growth objectives and new product launches. This increase also included approximately $30 million of select discrete items that are not expected to repeat, including increased employee health care expenses, due to high cost medical claims incurred during the quarter, fees associated with our tax optimization program and phasing of stock compensation expenses. These higher expenses were offset by benefit from lower stranded costs. Full year 2024 adjusted SG&A totaled $2.66 billion and represented 25% of sales. Adjusted R&D spending from continued operations in the quarter totaled $131 million and represented 4.8% as a percentage of sales, an increase of 10 basis points compared to the prior year period, and reflects our continued investments in advancing new products across the portfolio and bringing innovation to patients across our segments. 2024 full year adjusted R&D totaled $510 million or 4.8% as a percent of sales. These factors resulted in an adjusted operating margin of 15.2% on a continuing operations basis, coming in favorable expectations and improving 70 basis points sequentially. Compared to the prior year, adjusted operating margins from continued operations decreased 190 basis points, driven by the factors I just discussed, as well as the unfavorable impact from foreign exchange. Full year 2024 adjusted operating margin from continuing operations was approximately $1.5 billion or 13.9% of sales. Net interest expense from continuing operations totaled $90 million in the quarter, an increase of $18 million versus the prior year period, reflecting lower interest income. For the full year, net interest expense totaled $341 million, decreasing $98 million and reflecting the benefit of our debt repayment initiatives. Adjusted other non-operating income totaled $4 million in the quarter compared to income of $10 million in the prior year period. For the full year, adjusted other non-operating income totaled $38 million compared to $5 million of income in the prior year period, primarily reflecting lower foreign exchange losses. The continuing operations adjusted tax rate for the quarter was 10.8% and came in lower-than-expected. For the full year, the continuing operations tax rate was 17.5%. Both the full year and fourth quarter tax rates reflect the benefit of initiatives we have undertaken to optimize our global tax rate. And as previously mentioned, adjusted earnings from continuing operations were $0.58 per share for the quarter and decreased 11% versus the prior year. Positive contributions to earnings include improved commercial performance for new product launches and positive pricing. In the quarter, these drivers were offset by the negative impact of Hurricane Helene, which we estimate impacted our results by approximately $0.10 per share, and an unfavorable impact from foreign exchange and interest expense of approximately $0.06 per share. Full year 2024 adjusted earnings per share from continued operations totaled $1.89 per share, an increase of 11% as compared to the prior year period. Let me conclude my remarks by discussing our outlook for the full year 2025 and the first quarter of 2025, including some key assumptions underpinning the guidance. All guidance provided excludes the impact of Kidney Care discontinued operations. For full year 2025, Baxter expects total sales growth of 5% to 6% on a reported basis. This guidance includes an approximate 200 basis points negative impact from foreign exchange based on current rates, as well as approximately $345 million of anticipated MSA revenues from Vantive. Operationally, Baxter expects sales to grow 4% to 5%. This guidance excludes the impact of foreign exchange, MSA revenues and the planned exit of IV Solutions from China as the company continues to focus on driving profitable growth. The negative impact from exiting the IV Solutions business in China is approximately 50 basis points to growth. Operational sales guidance for the full year by reportable segment is as follows. For MPT, we expect sales to increase approximately five percent, driven by continued momentum with our Novum IQ launch, the benefit of positive pricing in The U.S. and other underlying business momentum. This guidance excludes the impact of exiting the IV Solutions market in China, which is estimated to impact sales growth by 120 basis points. Sales in our HST segment are expected to increase approximately 3% and is expected to be balanced across both CCS and FLC. We expect pharmaceutical to increase approximately 5% to 6%, driven by mid single-digits growth in both specialty injectables and drug compounding. Now turning to our outlook for other P&L line items. As previously shared, we expect full year adjusted operating margin from continued operations to total approximately 16.5% and includes TSA income of approximately $125 million. We expect our non operating expenses, which include net interest expense and other income and expense to total between $250 million to $270 million. On a continued operations basis, we anticipate a full year tax rate of approximately 19.5%. We expect our diluted shares count to average approximately $550 million shares for the year, which does not contemplate any share repurchases. Based on all these factors, we now anticipate full year adjusted earnings on a continued operations basis of $2.45 to $2.55 per diluted share. This outlook includes an estimated negative impact of approximately $0.03 per share from foreign exchange based on current rates. A couple of other quick comments I'd like to make regarding our outlook for 2025. First, I'd point out that our current guidance includes a slight impact from tariffs enacted in China, but does not reflect any impact from potential tariffs that are contemplated for Mexico and Canada, given the validity of the situation and potential for further delays implementation and possible exemptions. Second, in 2024, costs that have previously been allocated to Kidney Care that did not convey with the discontinued operations presentation were reported in unallocated corporate costs. Starting in 2025, these costs will be allocated to the three segments along with related TSA income. Specific to the first quarter of 2025, we expect continued operational sales growth of approximately 3% to 4%, on a reported basis, and approximately 4% on an operational basis. For the first quarter, foreign exchange is expected to negatively impact the top-line by more than 200 basis points and MSA revenues are expected to total approximately $60 million. The China IoT Solutions exit is expected to impact top-line growth by approximately 60 basis points in the first quarter. On a continuing operations basis, we expect adjusted earnings per share of $0.47 to $0.50 per share. This guidance reflects the impact of closing Vantive on January 31st, which negatively impacted earnings per share by approximately $0.04 in the quarter, as compared to the closing of the sale on December 31, and we've been able to close on that date. With that, we can now open up the call for Q&A.
Operator: Thank you. [Operator Instructions] I would like to remind the participants that this call is being recorded and a digital replay will be available on the Baxter International website for sixty days at www.baxter.com. Thank you. Your first question comes from the line of Robbie Marcus with JPMorgan. Please go ahead.
Robert Marcus: Great. Good morning and thank you for taking the questions. Two from me. First, Joel, how should we think about with all the moving pieces on the top and bottom-line, the cadence for 2025? Sure.
Joel Grade: Good morning, Robert. Thanks for the question. So I'll start on the sales line. And as you know, we normally have some ramp in our business over the course of the year, but there's a couple of things I'd call out this year specifically. First and foremost is, in the -- I'd say the first quarter, we're taking somewhat more conservative approach in the sense that we're still recovering from the hurricane. And so, we've given ourselves a little bit of, I'd say, conservatism to see how that all plays out. So I'd say, despite what should be relatively easier comp with HST, certainly there's going to be an element of assets built into the first quarter from a conservatism standpoint. I would say, the other thing I would call out over the course of the year is that, in the fourth quarter, we do anticipate that being a larger quarter in the sense that obviously we're comparing up against the impact from Helene. So those are couple of things that I'd probably call out from a cadence perspective on the top. From an earnings perspective of the OI, yes, I think the main thing I'd call out there is that we do anticipate a continued ramp over the course of the year, mostly driven by the impact of our stranded cost work that will be kicking in and continue improvements over the course of the year. Obviously, that's what we've already started to do, but obviously that will continue to build over the course of the year. And so, therefore you can expect some ramp from earnings perspective for that reason.
Robert Marcus: Great. Maybe a quick follow-up. The HST business especially frontline care was still negative growth this quarter. What's the latest you're seeing there, the confidence you could turn it around in 2025 and your level of visibility to it? Thanks.
Joel Grade: Yes. So I'd say a couple of things there. I mean, first of all, we are anticipating a stabilization of the Primary Care markets, and we certainly have seen some of that, and are starting to see that even as we head into the first quarter. So, I think that obviously had a substantial decline in 2024. And so, from that perspective, I think the stabilization of that market is an important piece of this. Yes, certainly, as you know, we do anniversary some difficult comps over the course of the year, for example, things like some of the government orders, some of the things that were against, some of the stimulus packages, some of the spending things in the backlog, we're up against in 2024 versus 2023. We don't have those headwinds to the extent that we did, obviously as we ended the 2025. So I think that's another important piece of this. And then I think some of the things we called out in the prepared remarks around some of the things of supply constraints, I think that, we're looking to resolve that I think Q1 of this year. And so, I think generally speaking, some of the impacts that we had last year, we won't be up against in the same way this year. And in addition to that, in a little bit of longer-term perspective, we do have some interesting new product launches that are coming out with the older practice certainly more later in the year than '26. But that's sort of reasons we feel confident in that. I know you asked about that, Steve, but just from the perspective of CCS as well. One of the other differences this year versus last year was, as you recall, we ended the last year with an order book that actually had quite a bit of softness in it and had an impact in the early part of the year last year. As we talked about in the second half of this year, our order book in CCS has remained quite strong, particularly in PSS U.S. And so, we ended this year with certainly a lot better momentum in that business as well. So I think the combination of those things, Robert, give us a perspective on how why we think there's a good opportunity for some recovery this year, I think, at HST overall.
Robert Marcus: Appreciate it. Thanks a lot.
Operator: Your next question comes from the line of David Roman with Goldman Sachs. Please go ahead.
David Roman: Thank you. Good morning, everybody. Heather, congratulations on the new role. I'm looking forward to working with you in this capacity. And Claire, thank you and the finance team for the extensive financial information here. Super helpful as we look at the company post Vantive. For my first question. The past several years for Baxter have been characterized by exogenous events like Hurricane Helene, elevated inflationary pressures, the transition with the Hill Rom deal and the strategic actions you've taken with BPS and Vantiv. Can you help us think about the direction of the company from here and how you're thinking about strategic priorities and maybe at the same time give us a flavor for how that fits into the profiling characteristics if you go to the CEO search?
Joel Grade: Absolutely. I'll start and then Brent can add anything, and he'd like to on the second piece of that. Obviously, Dave, you're right. There certainly has been a lot going on here at Baxter. But what I would say, first of all, this company has done an amazing job of working through these transformational efforts here over the last couple of years and really set us up in a good place for this company moving forward. And so, how do I think about priorities for the company? And again, certainly, we'll roll on this Capital Markets Day sometime after the CEO has been named. But we're starting. I would say, it starts with customer inspired innovation. These are things that we as a company want to make sure that we are driving innovative products and opportunities, obviously, inspired by our customers. We're certainly going to have a focus on targeted markets. I would say, it's one of the kind of the grow of the growers. How do we find those opportunities where we can actually invest our capital in places that ultimately going to drive growth for the organization? I'd say, the third thing really I think about it is how do we optimize the structure of our company, obviously with the sale of the Kidney business, optimizing both our cost structure from a standard certain cost perspective, but also optimizing our supply chain and some of the things that allow us to take advantage of some of the more simple supply chain opportunity without having to have our whole deliveries of the Kidney business. So that's the third thing. I'd say fourth is really around this concept of commercial excellence and how do we drive consistent execution as a company as a key focus. The last I'd say is really around disciplined capital allocation, those things that allow us to both focus on driving growth, both organically and again in a folded tuck-in way inorganically, but that also balance with returning value to shareholders. So I would call those things really out as how to think about our company moving forward. And again, I'll turn it over to Brent in terms of just how does that really fit into the process of the CEO search. Brent?
Brent Shafer: I'd just add, in this transition period, certainly, I'm looking for stability, predictable, consistent, strong results. And by Joel, I give tremendous credit to this organization for all the things they have worked through, many of them very complex projects, time-consuming, et cetera. So directionally starting to move the organization to more of an emphasis on growth, both through innovation and through commercial execution is in the short-term moves we can make that accelerate progress in the company. And as far as CEO search and how we're looking at that at the Board level, that work is already underway. And as you can imagine, there's a pretty good profile of Baxter's portfolio, where we are at this point in time. So the experience that we're looking for would be appropriate with the company's situation and opportunities in front of us. So the fact that candidates need to have that experience and a vision that can lead the company forward to its next chapter. And having been here and now been on the board and just working with this management team, I just think there is phenomenal opportunity here because so much heavy lifting has been done over the last few years to streamline and to put this new vertical organization in place, which I think is a real winner honestly. It's a great opportunity.
David Roman: Thank you. And maybe just a quick follow-up on the financial side. Joel, can you walk us through the post Vantive sale capital structure of the company and maybe update us on target leverage ratios and the timeframe to achieve that?
Joel Grade: Yes, absolutely. So maybe I'll start with the leverage ratio. Certainly, what we've talked about, we're continuing to be committed to is a target leverage ratio around 3x net debt-to-EBITDA. And I think that is a level that gives us again, this opportunity to both balance strategic investments as a company and as well, again, return value to shareholders in a way that I think balances on our capital structure. We anticipate being able to achieve that term of leverage by the end of 2025. We'll certainly have it sometime in the later part of the second half of the year. Feel good about that. Obviously, since the deal closed with Vantive, we paid down nearly $3 billion of debt. The first part of it was taking out our delayed raw turbo that we had taken out earlier in 2024. And then, we also paid off a portion of $1 billion with 2026 term loan that was actually our highest coupon debt. So I guess I would say, between that work and our continued efforts in terms of driving free cash flow out of the organization, I feel comfortable with the fact that we're heading towards that target. That will allow us to really to be to adjust our capital allocation priorities from what's been mostly paying down debt to those areas that would allow us to get to get continued investments in driving organic growth, continued opportunities for folding tuck in opportunities, will that make sense? And the opportunity to restart the buyback program. Certainly, initially, the offset option dilution and I'd say opportunistically from there.
David Roman: Terrific. Thanks so much.
Operator: Your next question comes from the line of Matt Miksic with Barclays. Please go ahead.
Matt Miksic: Great. Thanks so much for taking the questions. Congrats on a nice end to this busy, busy year. So I wanted to follow-up on some of the comments you've made on new product investments and product pipeline. If you could talk a little bit about, which business lines those -- which you'd highlight and then maybe timing, as to when we might start to see some of the benefits of these investments? And then, I have one follow-up.
Joel Grade: Sure. So really, let me start with the fact that, it's really across our portfolio where we actually have really some innovation happening here. And certainly, I would start with Heather's business and FLC. Obviously, the Novum pump has been a resounding success. It's a differentiated product that, again, has got a great customer response. The launch has gone extremely well. Obviously, we got a partial year of that growth last year in 2024, we'll have a full year of that growth heading forward here in 2025. So certainly Novum is obviously a huge, key part of our innovation and again really a great success story. Certainly in pharma, one of the things that you heard from us talk about Pharma is our need and our opportunity to continue to accelerate with new product launches in pharma. This past year, we launched nearly 10 and we anticipate another double-digits year heading into 2025. That is something we should expect from us to continue to do. And while there's not necessarily one large molecule that you can tie something to, that level of activity is something that we are committed to and we have a great pipeline of opportunities ahead of us. I would tell you that, the effect of that, you see the growth we've had in our pharma business and so you're seeing the impact of some of that that's already happened and we anticipate as we head into next year, again another solid year from Pharma in terms of their innovation as well. From an HST perspective...
Matt Miksic: Great. Yes. That's super helpful. The one other comment I wanted to make is maybe a follow-up on, Robbie's, on HST. Just the environment for sort of capital and some of the patient support devices and other things that you're selling, fleets and beds, et cetera, that you're selling in hospitals, just maybe a general comment on that environment, demand cycles, sector trends, anything that can help us gauge where that business is going? Thanks so much.
Joel Grade: Yes, absolutely. Thanks for the question. Yes, so I would say generally speaking, the capital environment is quite good. I think, as we talk about this year, our capital orders particularly in PSS in The U.S., especially in the second half of the year, have actually been very consistent. And over year-over-year, we've had about a 15% growth in those orders, which obviously, there's a timing element in terms of when the orders turn into cash or turned into a sale. But we certainly headed this next year with some good momentum, and we expect to continue to build on that momentum as we head into 2025. So I would say, generally speaking, the capital environment is quite good, both from, I'd say, the monitoring the patient monitoring devices as well as from a beds perspective. Obviously, we've had continued success with our Progressive Plus model as well. So I think overall the environment is healthy. We're encouraged by some of the competitive wins that, we've had in those areas. As I said, we're anticipating some new products coming up that will benefit us as we get to go to that area as we have in 2020.
Brent Shafer: This is Brent. I just had a comment here. I believe from what I've seen, there has been a significant improvement in the commercial organization in The U.S. particularly, in those categories. And so I think we're seeing the benefit of upgrades made in that area and real rigor around the commercial processes there. So a credit to those teams.
Matt Miksic: Excellent. I appreciate the color.
Operator: Your next question comes from the line of Vijay Kumar with Evercore ISI. Please go ahead.
Vijay Kumar: Hi, guys. Good morning and thank you for taking my question. Joel, maybe my first question on TSA and margins here. I know the optics, these are apples-to-oranges comparison rate, but the year on year, it does look margins were up 250 basis points. So if you can just break that down, right? What is TSA? How much of this was stranded costs, which were there in fiscal 'twenty four and that's going away? What is pricing elements here? And did the China IV fluid exit, is that a headwind or a tailwind to margins?
Joel Grade: Okay. Thanks for the question, Vijay. Let me start with, I guess, I think the easiest way to bridge our what ended the year at 13.9% to our target that we've talked about and guided to a 16.5%. I think the way to think about that is that, if you take the 13.9% and you add about 40 basis points for the 2024 impact of Helene, and then you add about 220 basis points of what would be a the stranded cost impact, and then you think about 100 basis points, what I'm going to call operational improvements as we head into 2025, those are things like light pricing, particularly in The U.S. in our MPT business. Those are things like product mix. One of the things that we talked about is the improvement of our injectables portfolio, the higher growth in our advanced surgery, the improvement in HST, all of our mix elements that add to are positive there. We talked about some of the leverage from that we get from volume growth. And so, I think -- again obviously some of the things we talked about new product launches, that's where you get that 100 points of benefit. And obviously, we're reinvesting some of that, but that's a key element of it. And then, there's two elements of the stranded cost and the MSA is that are in the opposite direction. So there's 40 basis points, I'll call the net impact of stranded cost that hasn't yet been addressed in 2025 and about a 60 basis point impact of dilution from MSA revenues that are obviously generating lower margin, low single-digit margin from a gross profit perspective. So that really is the bridge. And so that takes you from the 13.9% to the 16.5%. So hopefully that gives you some perspective on that. Can you repeat your second question?
Vijay Kumar: No, that was extremely helpful, Joel. But my second one was on, if I look at the performance in the quarter, it looks like the beat was just more than the headwinds from Hurricane Helene coming in slightly better than expectations, right? Can you quantify what the headwind from Helene was in the quarter? And what drove the hurricane impact? It looks like pumps was very strong. So maybe some commentary around pump performance?
Brent Shafer: Yes. I'll start with the quarter, but then I'll pass it over to Heather to talk a little bit about the performance of the IVS and pumps in the quarter. Obviously, the headwinds for Helene, was 100 basis points in the quarter.
Heather Knight: Yes, about $110 million on the top-line and $0.1 on the bottom-line.
Brent Shafer: But obviously, the great news on that is, actually we over-performed in terms of the recovery time, in terms of offsetting some of that. I don't know, maybe Heather, I'll give over to you to talk a little bit about some of that.
Heather Knight: Sure. Hi, Vijay. Good morning. Nice to hear from you. So we did better in Q4 with the swift recovery of our Northcove site, thanks to the great work of our team. So about $45 million better on IV Solutions as a result of the swift recovery that we had out of that location. So we did see strength across our infusion therapies business and the infusion pump platform in particular in the fourth quarter. So I'll say, we're very happy with the launch of Novum IQ and where we are. The teams are doing a great job driving this new platform. If you recall, Baxter placed a pretty big bet to internally develop a brand new to market and novel infusion pump platform both with the hardware, software and digital platform and we're seeing it pay off. So our infusion business grew 50% last year in 2024, and we're expecting another great year this year in 2025. And it's not only important, because we get the revenue from the hardware and software, but also because we get to pull through very consistent revenue over the life of that pump. So share capture, competitive gains are really important. And customer satisfaction right now is very high, both on the implementation of the pump as well as the EMR integration with the new platform. And this was developed in collaboration with our customers. Again, we're starting to see the benefit of that. We took multiple points of market share last year in 2024, and we're expecting to see more of the same more competitive gains in 2025. And then, we have some new complementary digital suites that are now launching that will be a great complement to this launch midyear in 2024 that we released. So I'll tell you, I'm pretty excited about where we are in this new chapter, the new pace, momentum that we're building around the Novum platform. And IVs are stable. We've gone through the GPO resign, and are in line with our expectations, if not slightly better than we expected. So we're expecting a great rebound in 2025 and certainly really appreciate our customer support during the recovery of Hurricane Helane, and hats off to the Baxter team for the fast recovery. But thanks for the question today.
Brent Shafer: Yes. This is Brent. I'd just like to recognize Heather and her team and really all the folks who worked on North Cove recovery. It's hard to explain it in a financial setting, but the work to deal with the disaster situation, to work through that effectively, bring the plant back up and really look after the community at the same time. It's just world-class response by the folks who were involved. And I personally want to thank them all, especially Heather.
Vijay Kumar: Thank you. Very helpful answers.
Operator: Your next question comes from the line of Travis Steed with Bank of America Securities. Please go ahead.
Travis Steed: Hi, thanks. I'll follow-up a question on the saline side and obviously a great job on the fast recovery. I think it went better than most expected. I was just thinking about how you think about the book of saline business kind of before and after the hurricane. Did you see customers add a second source and how you're kind of thinking about the share of that? And then I had a follow-up question on free cash flow.
Heather Knight: Yes. Thanks for the question, Travis. So as I mentioned to Vijay, I mean, our expectations are in line or even slightly better. I think because of the flat fast recovery that we had quite honestly out of North Cove, we're not seeing as many customers take on a second particular because as we mentioned we're at pre-hurricane levels started at this point. So, new U.S. GPO contract is particular stated on January 1st and February 1st. So now that we've fully recovered, most customers are still committed to their remaining compliance and minimum committed volumes that they've given to Baxter. So, we're pleased with the response and our customers sticking with Baxter during this time. We know the fourth quarter wasn't easy for them, but we proved to them the resiliency that we have and the investments, quite honestly, that we've made over the last few years and our global network and activating that during Helene certainly helped and relieved some of the pressure. So we think that that's pretty unique to Baxter and the hundreds of millions that we've invested in our platform and IV solutions due to the critical nature that they play in health care. Again, in line are slightly better and are working closely with our customers to make sure that they can resume normal clinical practice as they've had and patients can get the critical solutions that they need.
Travis Steed: Great. That's helpful. And then, I did want to ask on free cash flow generation. I know there's a lot of adjustments this quarter. How should we think about some of these adjustments going forward? When do you think you can kind of get back to kind of 80% free cash flow conversion? I don't think you gave a guidance for free cash flow next year. I'm curious how you're thinking about that. And then the Frontline Care write down, any more color on that? I don't know, if that's kind of a change in the growth expectations for that business long-term.
Joel Grade: Yes. Thanks, Travis. So on free cash flow, the way I would think about that is that, we have talked about the fact that we want to have an 80% conversion of net earnings free cash flow. And I expect that to be, generally speaking, what we'll do in the course of the year with one caveat to that. And that is in the first quarter, we're anticipating some negative impacts from think about it this way, it's two things from working capital perspective. Number one is some of the expenses we incurred in Q4 related to Hurricane Helene actually going to be paid in Q1. And then secondly, there's going to be some level of restock from an inventory perspective that's going to have a negative drag on cash. So I would think about that number for this year as somewhere more like in the low 70s, but that is mostly impacted by the first quarter, and I anticipate a much more normal cash conversion in the second few quarters of the year and obviously going forward. We'll hopefully continue to improve that as we go forward. Regarding the write down of Frontline Care, the way I would look at that, Travis, is we do a once a year review of our goodwill and other tangible as it relates to those assets. And 2024 was obviously an impactful year from an FLC perspective. So I guess I'd characterize it more as an impact to 2024 on the model than I would any type of overarching concern about the growth prospects going forward.
Travis Steed: Great. Thank you.
Operator: Your next question comes from the line of Lawrence Biegelsen with Wells Fargo. Please go ahead.
Lawrence Biegelsen: Good morning. Thanks for taking the questions and congrats on the nice finish to the year here. Brent, I was hoping to ask you two questions. First, David earlier in the call talked about the challenges Baxter's had in recent years. How do you think about the pros and cons of an external versus internal candidate for CEO bringing in fresh perspective versus someone who kind of already knows Baxter? I have one follow-up for you.
Brent Shafer: I mean, that's the big question, I guess. And the Board is very focused on that because there are pros and cons to either solution. Obviously, an internal candidate knows all the details of the business, how it runs, how it operates? An external one can bring a fresh perspective, but they have to ramp-up quickly to try to catch that same level of knowledge, which takes a while, especially in a complex business. So I can just tell you that, it is a full Board activity. The Board is very focused on this. And though they would like to move as quickly as possible, the general sense is, it's more important to get the right fit for the company, at this point in time than it is to necessarily be quick. So I hope that gives you a little flavor for it.
Lawrence Biegelsen: That does. Thank you. Secondly, Brent, how did you evaluate the guidance as interim CEO? And how do you think about the process for the permanent CEO to re-evaluate it? You know that, just to be candid, you know the investors typically think a new CEO will come in and want to put his or her stamp on the guidance, may want to change investment priorities and things like that. How did you think about that? Thanks for taking the question.
Brent Shafer: How do I think it, coming in as an interim, you mean?
Lawrence Biegelsen: Yes, I mean, is there a risk the new CEO comes in and says, we need to invest more and changes the guidance?
Brent Shafer: Yes. I think at a Board level, seen the three year look at the business and are aware of the details and the drivers. And being on board now and in the business, I feel good. I feel like there are solid plans in place. Of course, when you have another person at the helm and I'm interim leader, so my focus is really on executing the plans that are in place. Another person may put a different filter on it, but the general situation around our markets and our offerings are known very well in the business. So anything -- anyone coming in would be building on that. I guess that's all I can assume. It's kind of a hard question to answer because it depends.
Joel Grade: I think the one thing I would just give Brent the opportunity and he's talked about it. I would just reiterate the fact that this is a great opportunity for someone to come in and I guess Brent has a perspective on that and maybe could share that as well. But I think as we talked about some of the key strategic initiatives that have done over these last three years, there's really last couple of years, there's a really nice opportunity for someone to come in here and take a company that really I think is actually set up well for success. And so, I don't know if Brent is a good company.
Brent Shafer: Yes, I'll comment a little bit about that. I mean, the organization, as you know, has been consumed with a lot of project work, very tough, detailed work working through these separations, the spins. And there is a real energy in the organization to turn now to growth and innovation. And so, you can feel it. You really can. That is a real opportunity here. There are good leaders ready to move it forward. And I think whoever comes into the role that is the key piece to drive is that, profitable growth from the base that's been done now, because a lot of clean-up has been done.
Lawrence Biegelsen: All right. Very helpful. Thank you for taking the questions.
Operator: The next question comes from the line of Danielle Antalffy with UBS. Please go ahead.
Danielle Antalffy: Hi. Good morning, everyone. Thank you so much for taking the question. And, Heather, excited to work with you. Just a quick question. Actually, Larry's question is a good segue into Brent and Joel and Heather. Just as we look to 2025 and sort of some of the pipeline drivers specific to 2025 and maybe even 2026. I know you guys talked about, like, 10 product launches in pharma, for example. But any color you can give on sizing these and what we as analysts and investors can look forward to over the next 12 to 24 months? And that's all. Thanks so much.
Joel Grade: Sure. I'll start and others can chime in as they like. So I guess, I'll start with what I call a few of the kind of key drivers as we think about our guidance in 2025 and the year ahead of us. Number one, we continue to have strong growth in MPT. I think, obviously, as we mentioned a little earlier, the full year of the Novum launches, again, we're really excited about that. Advanced surgery, we're anticipating good single-digits growth there. And our clinical nutrition business was actually kind of an interesting notice and started to get the penetration into the ASC space. So we've seen some nice growth there and anticipate that continuing into the next year as well as the impact of GPO pricing. That's a strong element in that business. We talked a little earlier about the recovery of HST and the continued momentum on the capital side of the particular PSS in The U.S. as well as the stabilization of FLC. We talked about pharma, as sort of the key of the innovations of new product launches and the mix improvement there of injectables relative to compounding, I'd say, even stabilization on the anesthesia side. I think that's really on the top-line. And then the drivers of the line that I talked about here, again, some of the GPO pricing, the new product launches, the mix, continued improvements in our ISC, our supply chain with our margin improvement programs and volume leverage. And then, over the course of the year, continued impact from driving out some of the stranded costs that we've talked about here. So I think those are really the things to look forward to. And then, from a new product launch perspective, just in general, again, a renewed focus on that and accelerated focus there. So some impact in the ways I talked about '25, but also sets up for some impact beyond that.
Heather Knight: I'll chime in. Yes, I'm looking forward to working with you too. This is Heather. So some things that I'm excited about, I mean, the pump platform, as I mentioned, is something that we will continue to build on and we have additional launches to support Novum IQ and a gateway now that can work across our entire portfolio. So really excited about that and a connected ecosystem in the hospital, which is going to help clinical decision support and more personalized patient care. I mean, that's something that was the original thesis of the Hillrom acquisition and we're starting to really see good pilots and momentum with our customers on that. HST is going to be introducing some new products. They've got launches coming out throughout 2025 and early 2026. We're still seeing great momentum on Progressive Plus and PFS, so that continues to pay good dividends and taking market share there. And then, Pharma is hitting a really exciting cadence of new product launches, getting into more complex molecules, 10 to 12 launches a year that are really going to help buoy. And as Joel mentioned, the margins of that business, they're really focused on that, and when they hit this innovation cycle that they're on right now. So those are some of the things that I'm personally excited about. And then he mentioned alternate site. We made investments two years ago in alternate site in The United States and we are starting to see dividends paid there in the nutrition portfolio with some small tuck-ins licensing and distribution deals that we did in MPT and those are starting to bear fruit. So that momentum in The U.S. will continue. So those are just a few things that I'm personally excited about. So when I talk about a new rhythm, a new pace and momentum that's building, we're definitely starting to see that across the portfolio and those investments that we made bearing fruit now moving into 2025 and 2026. Thanks for the question.
Brent Shafer: Yes. Thanks, Heather. This is Brent. I'd just add to that. I sort of referred to it, but really starting right now, we're putting the emphasis on accelerating time to market innovation development. So that is an area of very strong focus right now is how to speed up that whole innovation cycle, and get product solutions to market faster. So that will be ongoing work. Thanks for your questions.
Danielle Antalffy: Thank you.
Operator: Ladies and gentlemen, those are all the questions the time allows us to take. Therefore, that concludes today's question and answer session and today's conference call. We thank you for your participation. You may now disconnect.